Operator: Good morning, and thank you for standing by. Welcome to Birkenstock's Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. [Operator Instructions]. I would like to remind everyone that this conference call is being recorded. I will now turn over the call to Megan Kulick, Director of Investor Relations.
Megan Kulick: Hello, and thank you, everyone, for joining us today. On the call are Oliver Reichert, Director of Birkenstock Holdings Plc; and Chief Executive Officer of the Birkenstock Group; and Erik Massmann, Chief Financial Officer of the Birkenstock Group. Klaus Baumann, Chief Sales Officer; David Kahan, President of the Americas; Nico Bouyakhf, President of EMEA; and Alexander Hoff, Vice President of Global Finance, will also join us for the  Q&A. Today, we are reporting the financial results for our fiscal fourth quarter and full year ending September 30, 2024. You may find the press release and supplemental presentation connected to today's discussion on our Investor Relations website, birkenstockholdings.com. We would like to remind you that some of the information provided during the call is forward-looking and accordingly is subject to the safe harbor provisions of the federal securities laws. These statements are subject to various risks, uncertainties and assumptions, which could cause our actual results to differ materially from these statements. These risks, uncertainties and assumptions are detailed in this morning's press release  as well as in our filings with the SEC, which can be found on our website at birkenstockholding.com. We undertake no obligation to revise or update any forward-looking statements or information except as required by law. During the call, all revenue growth rates will be cited on a constant currency basis unless otherwise stated. We will also reference certain non-IFRS financial information. We use non-IFRS measures as we believe they represent the operational performance and underlying results of our business more accurately. The presentation of this non-IFRS financial information is not intended to be considered by itself or as a substitute for the financial information prepared and presented in accordance with IFRS. Reconciliations of the IFRS to non-IFRS measures can be found in this morning's press release and in our SEC filings. Before I turn it over to Oliver, I want to draw your attention to the note in our press release in 20-F regarding the change in our segment reporting beginning in fiscal 2025. In our fiscal years up to and including 2024, our 3 reporting segments were the Americas, Europe and APMA, which was comprised of 2 operating segments, Asia Pacific and the Middle East Africa and India. During the first quarter of fiscal 2025, we have changed our internal organization to merge the Middle East and Africa region with the European operating segment under the leadership of Nico Bouyakhf to create a new reporting segment, Europe, Middle East and Africa, or India. While the India's region has been merged with the Asia Pacific operating segment to create a new segment, APAC, which will continue under the leadership of  Klaus Baumann. The change was due to the operational advantages and complementary benefits between the regions. No changes were made to the composition of the Americas operating segment. As a result, starting with fiscal 2025, the company has 3 operating as well as reportable segments: Americas, EMEA and APAC. Our first quarter 2025 results will be reported under this new segment structure. Prior to the release of our first quarter 2025 results, we will issue a 6-K with the 2024 quarters and fiscal year and the full fiscal year 2023 recast under the new segment reporting structure to aid in your year-over-year comparison. With that, I'll turn it over to Oliver.
Oliver Reichert: Good morning, everybody, and thank you for joining today's call. We are proud to report a very strong fiscal 2024 results, which came in ahead of our expectations. We are delivering on the commitments we made during our IPO by expanding profitably into the white space opportunities we identify.  Under-penetrated product categories such as closed-toe silhouettes, orthopedics, professional, outdoor and the important APMA region and the own region. In our first full fiscal year since we completed our IPO in October '23, we delivered 22% revenue growth in constant currency. Extending our decade-long track record of 20% plus compounded annual revenue growth, driven by continued growing demand for our products across all segments, channels and categories and we are growing profitably. Our 2024 adjusted EBITDA margin was 30.8%, beating the high end of our expectations. In fiscal year 2024, revenue from closed-toe silhouettes grew at over twice the rate of the overall group and increased share of business to about 1/3. In '24, about half of our top 20 selling silhouettes were closed-toe. Our APMA business grew at 42%, nearly double the pace of the overall business. Our own retail revenue grew over 2x the pace of the overall business as we continue to add to our own stores fleet, opening 20 new doors globally in fiscal '24. Leveraging the investments we made in our new Pasewalk factory, we launched our newest orthopedic innovations. The blue footbed for sneakers founded and relaunched our professional lines, including the fully certified Birki Air 2.0 and expanded our Water-ready outdoor assortment. We also made additional investments in Görlitz and Arouca allowing us to increase production capacity to meet the growing global demand for all our products. We increased pairs sold by 14% in fiscal '24. While maintaining disciplined distribution to ensure scarcity and strong full price realization of over 90% globally. ASP for the year was up 8% driven by product mix and targeted price increase. We grew our wholesale business by 23% in fiscal '24. Over 90% of the growth came from existing doors as our partners continue to allocate more shelf space to the Birkenstock brand, increasing order size and adding new categories and usage occasions. As consumers are becoming increasingly selective and more intentional in their spending, we are taking share and gaining the attention of our key retail partners and their shoppers. Our D2C business grew 21% and penetration of approximately 40% was consistent with the last year. We ended the fiscal year with 67 stores globally, up from 47% at the end of fiscal '23. We grew our membership base by over 30% during the year to over 8 million loyal members, who shop more frequently and spend on average 30% more than normal members. We continue to balance growth between B2B and DTC to meet the growing global demand, achieve our profitability goals and maximize our reach. Especially into the new targeted consumer groups. Now let's move to a brief discussion of segment performance for the year. Within our largest segment, the Americas, we experienced strong consumer demand for our brands throughout the year. Revenue in the region was up 19% compared to fiscal '23. We saw a noticeable return to in-person shopping at multi-brand retailers in the second half of the year. As such, our B2B strengthened throughout the year as many of our strategic partners allocated more space to Birkenstock and experienced very strong back-to-school sell-through. We have emerged as a must-carry brand within our strategic retailers. We believe there are significant reach with both door count and social media impressions have amplified our consumer demand beyond what we may achieve on our own. In the Americas DTC channel, which is almost entirely digital, we delivered revenue growth in the mid-teens. We expanded our physical retail presence, opening 4 new stores during fiscal '24. We recently opened our first Boston store and plan to add several additional stores later this year. In Europe, we delivered exceptional growth of 21%, which was broad-based across all countries and channels. In the first full year, since the completion of our transformation initiatives in the region will clearly see the benefits of the improved quality in our distribution with double-digit unit and ASP growth. While both closed-toe and sandals grew at double digits for the year. Closed-toe grew at over 2.5x faster than the sandals, driving ASP higher. We have gained shelf space and strategic retail partners and our brand awareness increased an average of 400 basis points in the key markets, since we began our transformation in 2022. We saw strength in both the DTC and B2B channels in Europe. Our focus on better alignment with key strategic retail partners led to increased orders and elevated sell-through performance from these targeted accounts. Our partners continue to widen their Birkenstock assortment to meet the expanding consumer demand. In our B2B order book for Autumn/Winter '24, we doubled share of business in shoes compared to last year. Our European DTC business grew at a similar pace as B2B. After several years of retail consolidation in the region, we embarked on our retail expansion strategy in '24. We opened 3 new stores in the region, including our first store in Paris. We have identified several additional locations throughout Europe for additional owned retail stores in '25. The APMA region with our fastest-growing segment in fiscal '24, growing 42%, nearly doubled the pace of the overall business. We continue to make progress towards penetrating this significant white space for the Birkenstock brand. Still at only 12% of our overall revenue mix. We see substantial opportunity for growth and will continue to invest in the segment. Aligned with our road map and commitment to the region, we added 13 new own retail stores, bringing our total to 25 in the APMA region. Additionally, the launch of our online store in the Philippines and the strong performance throughout our digital channel is supporting strong regional DTC growth. We also expanded our strategic partnerships increasing our mono brand partner doors by approximately 20%, which drives B2B growth in the region. Greater China made up mid-teens share of APMA revenue. We are still in the early stages of our market rollout there, but are steadily building brand awareness and demand through our increased retail and online assets. We opened our first own store in Chengdu, in October and will turn our successful pop-up store in Shanghai into a permanent store later this year. I will now turn it over to Erik to discuss our financial results in more detail.
Erik Massmann: Thanks, Oliver, and good morning, everyone. I'm pleased to share Birkenstock's performance for fourth quarter and full year 2024. Again, we saw very strong growth throughout the year, which accelerated into our fiscal year end, allowing us to achieve another year of over 20% top-line growth coming in ahead of our expectations. First, let's look at revenues. Fourth quarter 2024 revenues were EUR 456 million, growth of 22% in constant currency, accelerating from third quarter's growth of 90%. The B2B was up 26%, and our DTC performance was up by 18%. This brought our total revenue for fiscal year 2024 to over EUR 1.8 billion, up 22% from 2023 and ahead of our expected growth of 20%. B2B revenues were up 23% and DTC were up 21% for the full year. Now looking at gross profit. In analyzing our fourth quarter gross profit margin, it's important to note that the prior year quarter was impacted by several noncash end-of-year true-up adjustments and the reclassification of logistics expenses. Combined, these elevated Q4, 2023 gross margin by approximately 450 basis points. Making it not directly comparable to Q4 2024. The adjustment did not impact EBITDA in the period. And importantly, EBITDA margin increased 190 basis points year-over-year in the quarter. On a reported basis, gross profit margin for the fourth quarter fiscal 2024 was 59%. The remaining 190 basis points of decline in gross margin was a result of a, the expected under-absorption impact from new production capacity, which accounts for around 200 basis points. B, the increase in B2B share relative to last year and C, FX impact, all offset by some pricing initiatives. The gross margin in Q4 2024 represents the more normalized trend. For the full year, gross profit margin was 58.8%, down 330 basis points from full year 2023. As expected, about 150 basis points of margin decline was the result of the temporary under-absorption costs from the added production capacity, the remaining 180 basis points from a combination of X mix, channel mix and other impacts. Selling and distribution expenditures were EUR 141 million in the fourth quarter, representing 31% of revenue down 640 basis points year-over-year, due to in part of logistics reclassification into COGS, as well as lower consulting and other expenses relative to those incurred during our IPO last year. For the full fiscal year, selling and distribution expenditures totaled EUR 507 million or 28.1% of revenue, down from 29.8% in fiscal year 2023. General and administration expenses were EUR 32 million or 7% of revenue in the quarter. Respectively EUR 101 million or 5.6% of revenue for the full year 2024, up 20 basis points year-over-year, primarily due to the incremental public company costs. Adjusted EBITDA in Q4 of EUR 125 million was up 31% year-over-year and margin of 27.4% was up 190 basis points year-over-year. For the full year, adjusted EBITDA increased 15% to EUR 555 million for an EBITDA margin of 30.8% and down 160 basis points year-over-year, largely as a result of the capacity expansion, but coming in ahead of our expected range of 30% to 30.5%. Adjusted net profit of EUR 55 million in the fourth quarter was up 180%, and adjusted EPS was EUR 0.29, up 107% from a year ago. Fiscal 2024 adjusted net profit of EUR 240 million was up 16% from 2023. EPS of EUR 1.28 increased 30% year-over-year. Let's now have a closer look at our balance sheet as of September 30, 2024. Cash and cash equivalents were EUR 356 million as of September 30, '24 up from EUR 344 million at the end of fiscal 2023. We generated EUR 429 million operating cash flow during 2024, up 20% year-over-year. This was driven by the strong EBITDA growth, combined with improved working capital efficiency. We improved our inventory to sales ratio to 35%, down from 40% in '23. Our DSO for fiscal '24 remained very healthy at '23, in line with a year ago despite a slightly higher B2B mix. During 2024, we spent EUR 74 million in capital expenditures and made net repayments of EUR 662 million in outstanding loans. Our net leverage was 1.8x as of September 30, 2024, below our stated target of 2.0x. As we look forward to fiscal 2025, we believe we are well positioned to meet our stated growth and profitability objectives. Our outlook for 2025 is aligned with our medium- to long-term targets. We expect revenue growth of 15% to 17%, with balanced and healthy euro from both DTC and B2B. We believe this is the right pace of growth to meet demand within the guide rails or scarcity model and maintain brand's health and full price realization. Gross margin should improve year-over-year as we increase utilization and efficiency at our production facilities, moving closer to our 60% target. We expect EBITDA margin in the range of 30.8%, 31.3%, an increase of up to 50 basis points compared to 2024. Our effective tax rate is projected to be around 30%. We expect to invest approximately EUR 80 million in capital expenditures in 2025. And primarily related to production capacity and retail store expansion. We plan to use excess cash to continue reducing our outstanding debt. Our target leverage ratio for the end of fiscal 2025 is approximately 1.5x. Now I'm happy to hand over back to Oliver.
Oliver Reichert: Thanks, Erik.  Our strength in fiscal '24 and outlook for '25 demonstrate our ability and commitment to deliver on the promises we made during our IPO. We are delivering strong double-digit revenue growth excellent margins, exceptional cash generation and expanding into the white space areas we highlighted over a year ago. Our brand strength is evident, as our growth continues to outpace our peers globally with strong and increasing demand from our B2B partners and in our growing DTC footprint. We are investing in our production capabilities to meet the growing demand for our products, while carefully executing on our proven engineered distribution strategy to drive ASP growth, ensure healthy stock levels and maintain strong full price realization. We are entering the next chapter of growth as we tap into our largest white space market, the APMA region. We are increasing brand awareness, educating the consumer on the purpose of the Birkenstock footbed and are taking market share by following our prudent flavor of disciplined engineered distribution to support ASP. With our growing retail presence in the region and continued investment in digital, we see a long runway of growth ahead in us. F '24 draws to a close, so does the year in which we celebrated 250 years of shoemaking tradition, shining a light on our purpose to empower all people to walk as nature intended. Many of our wholesale partners used this moment to create special retail placements, allocating additional shelf space for our brands. In our white space region, we were invested to drive awareness, it was great to see the strong appetite for our rich brand heritage. As I've said before, the first 250 years were just the beginning of a much larger and more significant journey. I would now kindly ask the operator to open our Q&A session.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. And the first question today is coming from Matthew Boss from JPMorgan.
Matthew Boss: Congrats on another nice quarter. So Oliver, you cited 15% to 17% growth is the right pace for a healthy long-term business. I guess why do you think that's the right pace going forward? Or any structural change in drivers relative to the past decade of 20%-plus growth? And just near term,  could you give us some color on what you're seeing in the first quarter relative to that 15% to 17% pace as you are cycling the toughest compare at 26% growth a year ago.
Oliver Reichert: And regarding Q1, we are seeing globally a very strong holiday season. Given what we've seen this in Q1, we feel very comfortable that Q1 will likely come in the higher end of our 15% to 17% annual revenue growth guidance range. Even against the strong comps last year. Remember, last year, there was like a 26% growth. So we do think that ending up at the higher end of our guidance range, will be a strong signal for the brand and the global demand, which is definitely outstripping our supply here.
Operator: The next question is coming from Paul Lejuez from Citi.
Paul Lejuez: Oliver, can you give a little bit more color on 1Q, just how DTC versus B2B is performing? And how are you thinking about B2B versus DTC in F '25 overall, how are you planning the business around that 15% to 17% in each of those segments? And then can you maybe talk about gross margin by a quarter, assuming 1Q is not up year-over-year, but just wondering when you're looking for gross margin to inflect positive?
Mehdi Bouyakhf: Paul, this is  Nico. Thank you for your question. I'm taking the first one on DTC and B2B growth going forward. So what we will see is definitely we'll continue to see a balanced growth between DTC and B2B throughout fiscal 2025. Certainly, with some nuances from quarter-to-quarter as some quarters are more sell-in and some orders are more sell-through driven. Please be reminded that online represents 90% of our DTC currently. So in other words, retail is just presenting 10% of our DTC, and we've been executing our retail expansion plan with great success. Recently opened stores are performing really well, and they're performing well from day 1. Paris Le Marais that opened in Q4 is our top-performing store in Europe, Chengdu store is welcoming 4,000 visitors every week, outperforming our expectations. And then Austin stores also really outperforming our expectations. Please be assured we haven't secured more locations, more exciting locations to open this fiscal year. So you will hear us more talking about retail expansion, and you'll see retail gaining more weight in our DTC channel. Our overall view on channel growth is that we want to fulfill demand where it occurs. While we really remain disciplined in our distribution for B2B. As you know, 90% of growth is really coming from existing wholesale partners. And what they do is they expand our offering. They offer more shelf space and they go with a wider offering to their consumers. So this gives us a broader reach to consumers with a broader assortment and let consumers enjoy the full breadth of our brand. We remain disciplined in our distribution for B2B, and this is a high quality and profitable growth with a full price realization that is superior to any other brand out there.
Paul Lejuez: And then, Erik, maybe any color on the gross margin?
Erik Massmann: Sorry, I didn't get the question at the beginning. Gross margin, if you look at Q4, the gross margin last year had a number of noncash out-of-period accounting true-ups that impacted the quarterly margin comparatively. So these totaled about 450 basis points of which the majority was related to a true-up of internal logistic expenses for the year that were reclassified between COGS and selling and distribution expenses. There was no impact on the full year gross margin and even more importantly, no impact at all on EBITDA. So this is why we should look at the quarterly trends for gross margin, EBITDA margin in '24 as a guide for '25. And while as we -- as you know, we will not be giving quarterly margin guidance overall, we have said we expect a modest improvement in gross margin for '25 and EBITDA will go up 50 basis points higher next year.
Operator: The next question will be from Michael Binetti from Evercore.
Michael Binetti: Let me keep going on the gross margin and how we should think about it going forward into 2025, are there any other unusual items we need to think about as we look out at the quarterly trends? I know there was a big reclassification in 4Q as we roll into 1Q, 2Q? Is that an appropriate baseline to think about a year ago? And then on revenues, I guess, to double click a little bit. Thanks for the color on first quarter. You mentioned the tough compares in the quarter. But obviously, the DTC compare is obviously very tough in the first quarter. Anything to think about between the 2 channels in the fourth quarter as that obviously affects margins. And then finally, on SG&A, I'm just curious if you could speak to the cadence that's spend this year? Is it -- it hasn't really aligned very closely with revenue growth in the past and can have a pretty material difference on earnings quarter-to-quarter. It started growing in the mid-20s last year and ended the year much, much lower. So I'm curious as SG&A snapped back to mid- to high teens in the first half? Or is it best to think about it as like a high single-digit growth rate in the first half and it accelerates its revenues through the year?
Alexander Hoff: Michael, this is Alexander. Thanks for the question. I will take the first and the third part of your question. And with our numbers in '24, the quarterly cadence, we are quite confident that this is a good basis to model the '25 quarters. So '24 is completely clean. There is no hiccups, no unusual items you need to know about. And of course, we have some seasonality. I'm sure you are aware of that, especially with the higher DTC penetration, the first and then the fourth quarter, impacting gross margins and also SG&A ratios. But overall, '24 is a good basis to start with for '25. And then maybe just one last remark on gross margin. Erik mentioned that we are seeing -- yes, a slight uptrend of the margin in '25. This will likely to happen in the back half of the year.
Michael Binetti: Okay.  The SG&A?
Alexander Hoff: Well, on the SG&A, it's the same cadence and also a good starting point for the '25 quarters. There are fluctuations, but this is just pure seasonality and depending on the channel mix, but SG&A is also a good starting point taking the '24 numbers.
Operator: The next question is coming from Dana Telsey from Telsey Group.
Dana Telsey: As you think about it, I believe, the pairs were up 14% this year, ASP up around 8% this year. How are you thinking of that going forward, especially given the production capacity that's coming more online? What are you looking at? And it also sounds like the traffic in stores, did it continue to accelerate in the current quarter? What are you seeing, given the increased penetration of stores and the new store openings. And just anything more on wholesale in the Americas, what you're seeing on order trends? Is it still more from existing accounts? Or there are new ones, too?
Unknown Executive: Dana, this is Nico. I'm going to take the first part of the question, and then I'll hand over to my team colleague, David, to give us some color on the Americas piece. So on units versus ASP growth, we definitely see volume being a bigger driver of growth than previous years. As you know, finally, we have the capacity to really unlock white space categories such as the APMA on our APAC region, our closed-toe product category, but also other business areas such as [ Profenyl ]. These are all incremental fields of play to our unit growth. Further to that, this increased capacity is also benefiting our B2B business. It really allows us to gain shelf space with existing partners that are widening their assortment and offering. Even with that high unit growth, we expect a positive ASP contribution to revenue growth driven by mix predominantly, but also like-for-like pricing going forward.
David Kahan: Dana, this is David. Just to follow-up on the back half of that question. As you've heard repeatedly from us, 90% of our growth in revenue comes from not only existing accounts, but existing doors. So that shows that we're getting increased shelf space, increased penetration, increased spread in our collection, mainly in our current points of distribution. The only new points of distribution would be ones that are very, very tactical and strategic. For us, we've spoken about this previously, but most specifically related to sport -- sports specialty, where we've, over the last year, established a nice small basis, but very, very disciplined growth in that specific channel.
Operator: The next question will be from Laurent Vasilescu from BNP Paribas.
Laurent Vasilescu: I wanted to ask a three-part question, if I may. Last year, for fiscal year '24, you opened 20 stores how many stores should we assume for this year? And should it be really weighted to Asia? That kind of leads us to the second question. I think, Oliver, you mentioned China is only 15% of your APMA region, so about EUR 30 million still very small, but can you talk about the positioning of the brand in China and what do you think is the longer-term opportunity? And then lastly, you mentioned that the closed-toe offering was roughly 1/3 of the business. Where do you think that goes for FY '25 and longer term?
Mehdi Bouyakhf: This is Nico again. Thank you for your question. I'm going to do the first part of it, which is stores related, and then I'm going to hand over to Klaus for the Asia piece. As you know, retail is a massive growth pillar for us. We are currently operating 67 stores, adding and have added 20 stores in 2024. We have plans to open more. We are very disciplined in regards of the locations that we go after, but also our return requirements. Cash payback on investment is, as you know, within 18 months. So yes, we do expand, but we also expand very consciously, if you will. Our aim for fiscal '25 is to increase the door fleet by 50%. So that's a significant growth of our door fleet. And as I said, every store that is opened is performing and has to perform really well from day 1. So you see us having some really exciting locations lined up. We just opened -- in Europe, we just opened in Cologne, we opened in Amsterdam, more to come. As I said, Paris is a very, very great success story in Europe, and so there are many others in the other regions. So more to come on that.
Klaus Baumann: Laurent, Klaus here, answering the China question. First of all, it's important to know that we are not new in China. I mean we have a long history there. And yes, we are accelerating now our growth, we are -- as you know, we signed up a partner for our B2B mono store development. and we are delivering now to 6-point of sales, and we are operating 2 owned stores. On the digital side, we offered social sales channels as TikTok and the Minichat program. So looking forward, I mean, we will keep this pace next year, for sure, double the fleet.
Laurent Vasilescu: That's great to hear. And on a closed-toe to offering, where do you think that goes for this year and over time?
Unknown Executive: Yes.  So this is Nico again. So closed-toe offering, as you know, is now -- of our business and it continues to grow at the pace of more than twice as fast as our sandals. Important to note that sandals is growing double digit. And so we grow both areas of the business, while closed-toe is overperforming.  It will go more.  We haven't set ourselves a target for this one, but you will see an increased share of closed-toe business going forward.
Operator: The next question will be from Randy Konik from Jefferies.
Randal Konik: Just to unpack closed-toe a little more. Can you give us some a little flavor on the drivers within that category. Is that the Boston just getting a lot more breadths in the assortment that's driving a lot of that? Or are there other kind of views that are kind of driving. Can you give us a little more flavor of what's driving closed-toe? And again, do you think that, that could approach 40%, 50% of the mix going forward? And lastly,  what is the difference in ASP on average of closed-toe versus sandal?
David Kahan: Randy, it's David.  First off, there's no copy and paste globally on closed-toe. The beauty of the business is closed-toe encompasses everything from clogs to boots, and we're seeing positive momentum across every element of closed-toe.  In the U.S.  specifically, it has been driven by clogs. The beauty of that is it's not just the Boston. It's also the Tokyo. There's a new clog called the Lutry, with a convertible strap that you may have seen out at retail that's selling very, very well. And the impact of clogs actually is even spilling over to our Zermatt slipper, which has been in the line for 5 to 6 years and because of the interest in clogs is now having its best season in its entire history. Obviously, from an ASP standpoint clogs overall, as do all of closed-toe to have a higher ASP than sandals in general. I don't know what that exact dollar amount is. But clearly, the mix certainly changes the ASP. Again, I think the velocity of it is the sell-throughs it are much higher than they are across the total collection in anything that's closed-toe right now. I think Europe is seeing a bit more of a closed-toe shoe and boot reaction, so I'll pass this to Nico.
Mehdi Bouyakhf: Thank you, David.  Yes, indeed.  So maybe remember our Q1 last fiscal year, fiscal year '24, where we saw a very, very strong success of launched boot silhouettes. In fact, 4 out of top 10 in DTC, the top 10 sellers were lace up shoes, and we launched the Highwood and Prescott at a price point of EUR 200 -- above EUR 200, and that -- those tires really performed very well. So as you can see, we are spare heading, not just closed-toe, but also boots and laced up shoes in our DTC business. What we do is we take the great learnings and the great success into our B2B business. And Autumn in our '24, the season that we are selling through now with our partners was the first season where we doubled the order intake for laced-up shoes. And for us, it was quite significant to do that because we shared the great success of our DTC and asked our partners to broaden the range with us and invest into that part of the collection. Now the sell-through now of exactly that order intake is doing really positive. So we see a continuation of the trend of last Q1 with, again, laced-up shoes and Boots really performing well and  overperforming against the rest of the business.
Randal Konik: Great.  Can I ask one more follow-up, maybe more for Erik. In an effort to help us properly calibrate our thoughts between DTC and B2B recognizing that in the first half of '24 DTC led B2B, but in the back half, B2B-led DTC. In the 15% to 17% guide, can you just give us some -- may qualify, do you think B2B is higher in growth than DTC?  At least for the first half or for the whole year. Just give us just any kind of flavor you can give us between the channels and how they should grow relative to the 15% to 17% or higher or lower would be super helpful.
Mehdi Bouyakhf: It wasn't because of the question. So it's -- we don't break it down in detail, as you know, but it's a moderate growth in all areas. So it's a balanced growth to whatever the demand is asking for. And as we have, I think, discussed in the past, the B2B business is as positive for us as B2C business margin-wise. And therefore, I would overall and for the full year, say yes, it's a moderate growth, it's a moderate plan with no specifics. And obviously, seasonality a bit as we have seen them in the quarters this year. But again, overall moderate on both sides. I don't know whether that's enough answer.
Megan Kulick: This is Megan.  I just want to sum up there also. Just a reminder that 40% of our business is already DTC, which is a pretty sizable business in DTC. And we'll continue to grow both the DTC and the B2B business as we look forward into 2025. On the DTC side, I think we'll be looking at additional stores on the retail side, and that will be probably more toward back half that you'll start to see a greater contribution on the DTC side versus B2B.
Operator: The next question will be from Lorraine Hutchinson from Bank of America.
Lorraine Maikis: I just wanted to step back and talk about the APMA region over the longer term. What percentage of sales do you think it could grow to over time? And can you just talk about your progress on putting the distribution and partnerships in place for continued outsized growth?
Klaus Baumann: This is Klaus.  I think we are planning to grow about 30% in share. So we are balancing out in the regions.  That's the plan.  In the growth cadence, we'd like to say that the APMA region should have a double speed of our mature markets. And can you repeat the second question, please?
Lorraine Maikis: I was just hoping for an update on your progress on building the partnerships and distribution that you need to continue that growth.
Klaus Baumann: Okay.  Thank you.  As you know, we signed up a partner for China. We are also very much focused on our DTC development right now. And you can see that we are almost doubling the business on our DTC and partners for Southeast Asia, mainly a B2B section, very well prepared, and we are in context over here to open more stores. We are operating by ourselves now 25 stores. And in the B2B side, we have 256 stores where we added like 45 stores only this year. So going forward very well.
Oliver Reichert: So I think it's important for you to understand is Oliver again, sorry, that the APMA region is -- we're not only focusing on China, okay? So we really try to control the growth in a mindful way and say, okay, double the speed aggressive compared to the rest of the world, that's a good speed for us. It's -- we try to establish a very strong Southeast Asian business. We have a very strong business in Australia, a strong business in Japan, where especially our own retail is catching up very, very positive and very, very good. And of course, China has a main focus for a lot of investors, but we try to balance everything moving forward. So don't expect crazy stuff from us in these regions because keep in mind, if political situation change you will ask the questions exactly the other way around. So mindful way moving forward, double the speed. We grow in this region over 40%. So I would say that's pretty nice speed in this area. And -- but don't overwrite this. It's really -- it's important and it's -- but it's more important to keep it balanced.  Thank you.
Operator: The next question will be from Simeon Siegel from BMO Capital Markets.
Simeon Siegel: Hope you and your families have a very happy holidays. Erik or Alexander, just as we think about the model that we can see from the outside, are you comfortable that we're past the restatements, regional P&L, et cetera? And then just higher level. Really great revenue, congrats, strong brand resonance. Can you share some thoughts on how you're thinking about promotional environment at large, maybe with the competition versus what you're seeing for you guys? And then just -- maybe speak to the -- how you clear the last chance on your side versus wholesale clearance. I know there's a breath for a step element there that we can see versus that you can see. So any color there, promo environment clearance approaches on relevant. And then how you're thinking about the progression of gross margin next year in the context of lapping Pasewalk, maybe when that becomes a good guide to gross margin?
Oliver Reichert: That sounded like a long question, but thanks, Simeon. So let me start with your comment regarding the P&L.  It's very clear.  It's not a restatement. It's a reclassification of internal logistics costs, which can be shown in sales and distribution and can be shown on the clogs and some companies do it like this, so we sort of cleaned it up from '23. And now as the majority of companies do it. And so it showed in our gross margin. So that's a reclass of internal logistic costs, noncash impact EBITDA, as you have seen, also no impact. So I think that's important to see and to understand. And to come to your question, yes, we feel fine and then we had the first year of being listed used to sort of look at all the details. And then if you see the quality of the numbers and where we came from as a family run company, I think we had a big improvement now. And I'll hand over to  David.
David Kahan: Yes, Simeon, I think on the question about the general promotional environment, I think what you're seeing is this bifurcation out there. a lot is promoted, but the few things that people really demand that they're intentionally shopping for are selling through at full price. We're very fortunate that we are one of those brands. As you know, we manage scarcity with such a high level of discipline that the amount of hash, which is the industry term for broken sizes at any given time is mathematically quite small. Having said that, when you have a very developed digital business, where you do carry a broad assortment, you are going to see what may be more breadth. But certainly, a very, very low depth in any given style. So specifically to the U.S., who I know you're referencing with MAP pricing, we managed wholesale so tight our retailers experience in season well over 95% full price realization on our own DTC business, which again is largely digital right now, it's over 90%. So you're going to see a bit more breadth, but certainly not any significant depth whatsoever.
Simeon Siegel: That's really great.  Really helpful.  And then just, Erik, any way to think about when Pasewalk, we ramp -- we work through that ramp and it starts becoming a benefit to the line item?
Alexander Hoff: Simeon, this is Alexander. I will take that over. Yes, thanks for that part. Overall, we are absolutely pleased with how well the expansion has gone so far, not only in our new factory in Pasewalk, but also in the existing build out in Görlitz and in Portugal. So the expansionary steps we did in '23 and '24 has been the foundation of our unit growth. I think that's also important to mention in every single situation that it's not only pressure to margin. It gives us the opportunity to substantially grow in units. And this was clearly a drag, especially in '24 as expected and communicated upfront. This was a peak year of the margin pressure and -- with that transitionary year, we are now going into a '25 year, where we will see a better absorption as discussed already, primarily in the back half of the year. And -- we will also confirm that we expect the full absorption of fixed costs in the third quarter of 26%.
Operator: The next question is coming from Mark Altschwager from Baird.
Mark Altschwager: Congrats on the strong quarter and year. I wanted to ask about pricing. It looks like price accounted for about half of the 8% ASP increase in 2024.  Call it, 4%.  Is that a good way to think about 2025 as well? And a similar question on mix. That was also a big driver. Should we expect much of a change there for 2025.  Thank you.
Alexander Hoff: Mark, this is Alexander. Thanks for the question. And you're absolutely right. So when you're looking into '25, I think, Nico mentioned also that we are expecting approximately 2/3 unit growth, approximately 1/3 in ASP growth. And yes, ASP is primarily driven by like-for-like pricing and product mix with consumers continuously buying more into higher price points and premium products. We mentioned closed-toes as an example here. So higher leather share, but also product embellishment are supporting this trend and this will continue into the future. Retail will have on the channel expansion. But overall, in '25, we are not expecting a major influence on ASP from a channel mix.
Operator: The next question will be from Sam Poser from Williams Trading.
Samuel Poser: I just want to dig into the DTC business a little bit more, especially in the Americas, but in total. When -- in the Americas, the DTC business represents probably around 40-plus percent of the sales. And of that, 90% -- over 90% is digital. Will most of the DTC growth that happens in fiscal '25 happen out of Asia and Europe ex the stores and then those stores that  open later drive incrementally. Is that the way to think about it?
Megan Kulick: Yes.  Sam, it's Megan.  Obviously, we don't -- we're not providing by channel, by region. But I think to your -- to get to your question, yes, you're right on the DTC side on the U.S. predominantly e-com. And I think that as we look to DTC growth in the U.S., a lot of the additional growth in DTC will be coming from the additional stores. And we will see DTC growth contribution coming from the other regions. In particular, we're seeing very strong DTC growth both on the digital side and in the retail side coming from the APMA region, and that will continue to drive DTC growth higher, particularly as we move into the latter part of this year and those stores and the digital channels continue to ramp there.
Samuel Poser: And what would you call a mature digital penetration, I guess, in total is 40-plus percent mature? Is that like going to be a tough number to get ahead of higher than digitally and you really just need these stores -- you need to just open the stores and have them really start producing. And I guess, over the long term, you're going to open 30-plus stores this year. In the long term, how many stores do you foresee or owned stores do you foresee globally?
David Kahan: Tim, it's David here. First off, we're going to increase our door count physical doors by 50% in 2025. So that's pretty aggressive as far as new door openings. I would say -- and again, it's a little bit mathematical. It's a little bit anecdotal. But I would say, once you get to a 40% digital penetration in the market, that becomes pretty much optimized. It doesn't mean it's not going to grow. It will grow in revenue dollars, but as far as share of business, it may be slightly above 40% about optimized, where it is. And I think we've learned over the last few years from other brands. Once you try to lean into one channel versus the other. It may not serve the purpose that you're seeking it to actually serve, so I think we have a pretty optimal balance around the world. It might play out a little different by region. It might play out a little different by quarter. But I would say that we have the most healthy balance in the market right now and as we open more retail stores and more physical touch points with that brand, that's going to be purely incremental DTC growth on top of the digital growth that we will see.
Operator: The next question is coming from Janine Stichter from BTIG.
Janine Hoffman Stichter: I just wanted to get more color on what you're seeing from a customer lens. Is there any change you're seeing in either repeat purchase behavior or a number of pairs owned? And also curious what you're seeing in terms of the customer demographic. Are you seeing a younger audience? Or I'm just curious what you're seeing there.
Mehdi Bouyakhf: This is Nico.  Thank you for your question. So in regards to repeat purchases, we do have a very strong buildup of our membership base currently 8 million members. There you use your imagination how fast this can still grow. It's growing -- has been growing 30% year-on-year with already now members spending 30% than nonmembers. So what we also typically see with members is they sort of transcend into other categories with us, let's say, more expensive categories, but also newer categories, such as shoes, laced-up shoes, install business, that is typically adopted much faster than with members than with nonmembers. We've done a great job in becoming clearer on our member segments. So you'll see us becoming more personal in how we treat our members. And more exclusive. We have a very, very large amount of product that is exclusively meant for members that is displayed online. And that also typically sells through much, much faster than the rest of the line. So yes, a very healthy growth in membership, a very healthy business with members, but yet to be growing significantly.
Operator: The next question will be from Jim Duffy from Stifel.
Jim Duffy: I want to ask on cash flow and capital allocation. The 1.5x net leverage guide at the midpoint of adjusted EBITDA implies just modest improvement in the net debt. Can you talk about free cash flow objectives? You've given us CapEx. Is there some sort of offset to cash generation in the working capital lines? Or does that imply some use of cash such as share repurchases?
Erik Massmann: Thank you.  It's Erik.  Happy to take over. Yes, we are comparatively cash rich, which shows the strength of our business, and we hit the target of below 2x leverage, 1.8x end of the year. And the goal for next year is around 1.5x. Going forward, the plan is much the same as it was this year. First of all, invest in the business. That's always first priority. So if something is needed, if we think it helps the business, we will do it. And around EUR 80 million is the plan for current year. Afterwards, continue to pay down our debt. We expect, as I said, 1.5x leverage end of the year. Eventually pay off the U.S.  term loan.  And everything after this will be a decision made by the Board, obviously. But the strength of our business and the very strong cash flow conversion shows that we are on the right way.
Jim Duffy: Erik, at the midpoint of the EBITDA guide, 1.5x net leverage guide implies like $980 million in net debt at year-end. That's just $25 million or so better than fiscal '24 year-end. What are you thinking in terms of free cash flow? You've given us the CapEx I'm curious, is there some sort of offset that's impeding the progress on the net debt.
Erik Massmann: Calculation wise, you are correct. Of course, we have to be free on this, and we just wanted to be capable of investing in whatever is needed, either build up inventory or invest into the CapEx, yes, for me, personally, U.S. term loan is the first priority because it's the most expensive one. It's around USD 170 million. Plus, as you know, there's another euro term loan debt, there's a bond and everything else will be decided by the board afterwards.
Operator: The next question will be from Erwan Rambourg from HSBC.
Erwan Rambourg: Congrats on a great year. I just wanted to come back on APAC to understand if -- what are the P&L implications of APAC? Is it gross margin accretive? Is it operating margin dilutive? And just maybe an anecdotal, but moving from APMA to APAC, is that linked to particular managers or particular synergies by regrouping regions or countries together in a different manner than in the past?
Alexander Hoff: Erwan, this is Alexander. I'll take the first part and then hand over to Nico. So to keep it simple on the margin side, with that share of business -- of course, you don't get the full leverage, if you compare that to a much more bigger business, but we have really nice price points in the regions. Some markets are already quite developed. And we expect in the mid- to long term, no margin pressure from making that region bigger. So it's definitely supporting that margin. But in some markets, to be fair, when starting that up and ramping, you don't have the full profitability in year 1 or year 2, but this is fully built into our plan.
Mehdi Bouyakhf: Thank you, Alexander. Just on the segment change, yes, we decided to realign our segment structure into Americas, EMEA and APAC. Basically, the decision has been taken because we see structural similarities but also operational advantages between Europe and Middle East, Africa, but also India and APAC. So Asia Pacific, with India space under the leadership of Klaus Bauman in the new APAC segment, and I will take care responsibility of the EMEA segment. We've just started in Q1 to execute in this new segment formation and will provide all financials and recast segment results with the next quarter's release in February.
Erwan Rambourg: And just to check, I think you said China was a mid-teens contribution to APMA sales. So that's about 2%. Is that Mainland China? Or is that Greater China?
Mehdi Bouyakhf: It is Greater China.
Operator: The next question will be from Jay Sole from UBS.
Jay Sole: Great.  I guess, you talked a lot about closed-toe shoes and some of the newer products. You just talked about your injection molded sandal business and how that performed in 4Q and what you expect to see in that business next year?
Oliver Reichert: Jay, this is Oliver. You're talking about the PU segment, the outdoor water-ready sandals. So we are just working on this new segment. Actually, it was invented to cover the more humidity tropical conditions around Southeast Asia and the AMPA region in total. All of a sudden in the U.S. at the outdoor segment and in Europe, this starts performed pretty good. So it's just a new category that will be rolled out globally. There will be also coming up some collaboration styles and some special makeups in some areas, where we push and introduce these new wearing occasion in the, let's say, soft hiking, outdoor-ish water-ready environment. You may see some of it in REI in the U.S. or globe trotter and some other outdoor doors in Europe. So it's a very promising start for this new category. And that's why we invested in Pasewalk in this kind of manufacturing process because it's technically wise, it's completely different set up than the classical plastics sandals.
Operator: And the next question will be from Adrien Duverger from Goldman Sachs.
Adrien Duverger: I'll just stick to one. Just a follow-up on the manufacturing that you just mentioned. In terms of your investments and the factory expansion plans, how are they progressing versus your expectation? And how do you expect the additional supply to evolve over the next 2 to 3 years?
Oliver Reichert: Adrien, I think we touched on that question earlier in the call, but let me just wrap up that here's everything on plan, not only in the new factory, also the other 2 more. And this is not a plan which is done in 6 or 12 months. We started in '22, and this will last until '26 especially building out GÃ¶rlitz. This is absolutely on what we expected so far. The drag on margin is nothing what will continue in '25 and '26. So for now, all good year.
Operator: Thank you. And we have reached the end of the question-and-answer session, and this does conclude today's conference. You may disconnect your lines at this time. Have a wonderful day. Thank you for your participation.